Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Regis Corporation First Quarter Fiscal 2020 earnings call. My name is Cassidy and I will be your conference facilitator today. [Operator Instructions] Following management's presentation we will conduct a question and answer session. [Operator Instructions] As a reminder, this call is being recorded for playback and will be available by approximately 12:00 PM Central time today. I will now turn the conference call over to Kersten Zupfer, Senior Vice President of Finance. Please go ahead.
Kersten Zupfer: Thank you, Cassidy. Good morning everyone and thank you all for joining us. On the call with me today we have Hugh Sawyer, our Chief Executive Officer; Andrew Lacko, our Executive Vice President and Chief Financial Officer; Eric Bakken, President of our Franchise Segment and Amanda Rusin, our General Counsel. Before turning the call over to Hugh. There are a few housekeeping items to address. First today's earnings release and conference call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of performance and by their nature are subject to inherent risks and uncertainties that could cause actual results to differ materially from such forward-looking statement. Please refer to the company's current earnings release and recent SEC filings, including our most recent Form 10-Q and June 30, 2019 Form 10-K for more information on these risks and uncertainties. The Company undertakes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. Second, this morning's conference call must be considered in conjunction with the earnings release we issued this morning and our previous SEC filings including our most recent 10-Q and 10-K. On today's call, we will be discussing non-GAAP as adjusted financial results that exclude the impact of certain business events and other discrete item. These non-GAAP financial measures are provided to facilitate meaningful year-over-year comparisons but should not be considered superior to as a substitute for and should be read in conjunction with GAAP financial measures for the period. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in this morning's release, which is available on our website at www.regiscorp.com/investor-relations. With that I will now turn the call over to Hugh.
Hugh Sawyer: Thank you, Kersten, and good day everyone. As we discussed last quarter when I joined Regis, my aspiration was to develop a transformational enduring strategy to reinvigorate our company. My guiding principle has been to generate long-term value for the Company's core constituents, our shareholders, our franchise owners, customers, and employees. We are pleased to report this quarter meaningful progress in our ongoing strategic transformation to a capital-light high growth technology enabled franchise company. As we continue our transformation, we expect to utilize the cash proceeds we are generating from the sale of company-owned salons in various ways to maximize shareholder value. This may include, but not be limited to investments and the core capabilities we need to facilitate sustainable revenue and earnings growth in the future state as a fully franchised company. Those investments may include frictionless customer-facing technology, disruptive marketing and advertising, trend-driven merchandise, stylist recruiting and education franchise or capabilities, and the real estate locations to support future organic salon openings by our franchisees. We may also utilize our cash in the next 18 months to complete any remaining elements of our multi-year restructuring, including closing non-performing company owned salons, eliminating or reducing any ongoing lease risk associated with TBG, supporting our ongoing G&A reductions through severance programs, management of our capital structure as we continue to evolve to a franchise platform and if needed capital investments and some salon refurbishments and remodels as we consolidate our various brands throughout the portfolio. And as you know in the past we have utilized cash to repurchase our shares in circumstances where we believe that was in the best interest of our shareholders. So how do we expect to utilize the cash proceeds we generate from the sale of company-owned salons consistent with our past practice investments in the core capabilities needed to facilitate revenue and earnings growth as a franchise company, completing the elements of our multi-area restructuring and where we believe it's in the best interest of our shareholders, we'll certainly consider share repurchase programs. When I arrived in 2017 approximately 28% of the Company's salons were franchised at the close of this quarter, approximately 64% of our salon portfolio is franchised. Moreover, at this time approximately 900 company-owned salons are roughly 42% and the remaining company owned salons are in various stages of negotiation to be purchased by new or existing franchisees. We expect these transactions to close, but if you know given the uncertainty in the external environment and other factors, things could still change. Nevertheless, I believe our robust condition pipeline, it is encouraged -- is an encouraging data point that indicates, we have a significant opportunity to complete our transformation within the 18 month period, we estimated at the close of 2019. As we have previously disclosed, although the transition to a capital-light franchise model will initially have a dilutive impact on the company's reported adjusted EBITDA, we remain convinced that a fully franchised business has the potential to generate a higher return on its capital and will ultimately prove to be in the best long-term interest of our shareholders and franchise constituents. We do have more work to do before we finish the transformational phase of our strategy, but we have confidence in our plan. The abilities of our Regis team and our franchise partners to successfully execute the transformation and that our shared vision for the company will be fully realized. Andrew, why don't you take us through the numbers?
Andrew Lacko: Sure. Thanks to you and good morning. As you mentioned, we are very pleased to report significant progress in our transition to a fully franchised model. Before getting into the details of the quarter, I'd like to share with you a quick overview of the changes we've -- related to our adoption of these new lease accounting standards that you likely noticed in this morning's release. Historically, we have recorded lease income and expense on a net basis through the rental expense line item on the P&L, however, with the new lease accounting guidelines, we now record franchise rental revenue and the corresponding rental expense on separate line items in the P&L, while the net impact is a gross-up of both revenue and expense line items on the P&L. The new lease standard does not impact overall operating income. I'd like to also point out that the new lease guidance is accounted for prospectively and we did not restate for comparative periods. So please consider this in your modeling. In addition to the P&L impact, the new lease accounting guidance also required us to record a lease asset and a lease liability of approximately $990 million on the balance sheet. However, a portion of this long-term lease liability is subleased to our growing portfolio franchisees. Now turning to the results, we reported this morning consolidated first quarter revenues of $247 million, which represented a decrease of $40.8 million or 14.2% versus the prior year. The year-over-year decline in revenue was driven primarily by the conversion of 1143 company owned salons to the Company's franchise portfolio over the past 12 months and the closure of 147 company owned salons over the past 12 months. A majority of which were cash flow negative and not essential to our future. These headwinds were partially offset by a $3.1 million revenue increase in our franchise segment and $31.4 million of rent revenue related to the franchise segment that is recorded in connection with the new lease accounting guidance I just mentioned. First quarter consolidated adjusted EBITDA of $29.8 million was $4.7 million or 18.5% favorable to the same period last year and was driven primarily by a $26.2 million cash gain excluding non-cash goodwill derecognition related to the sale and conversion of 545 company-owned salons to the franchise portfolio during the quarter. Excluding this one-time gain, adjusted EBITDA totaled $3.6 million which was $14.4 million unfavorable year-over-year. The year-over-year unfavorable variance was driven primarily by the elimination of the EBITDA that had been generated in the prior-year period from the company-owned salons that have been sold and converted to the company's franchise platform of the past 12 months. First quarter adjusted EBITDA was also unfavorably impacted by a 1.1% decline in consolidated same-store sales, minimum wage increases, and strategic investments in technology and marketing. Please note that excluding discrete items and the income from discontinued operations, the company reported increased first quarter 2020 adjusted net income of $13.9 million or $0.37 per diluted share as compared to adjusted net income of $11.3 million or $0.25 per diluted share for the same period last year. Looking at segment specific performance and starting with our franchise segment, first quarter franchise royalties and fees of $28 million increased $5.6 million or 25.1% versus the same quarter last year driven primarily by increased franchise salon counts Product sales to franchisees decreased $2.5 million year-over-year to $13.1 million driven primarily by a $4.2 million decrease in products sold to TBG partially offset by increased franchise salon counts. Total franchise same-store sales were essentially flat year-over-year. As a reminder, franchise same-store sales are calculated in a manner that is consistent with how we calculate same-store sales in our company-owned salon portfolio and represents the total change in sales for salons that have been a franchise location for more than 12 months. First quarter franchise adjusted EBITDA of $11.9 million improved approximately $2 million year-over-year driven by growth in the franchise salon portfolio partially offset by planned strategic G&A investments to further enhance our franchiser capabilities and to support the increased volume and cadence of transactions and conversions into the franchise portfolio. Excluding the impact of TBG, franchise adjusted EBITDA was $2.5 million favorable year-over-year. I would like to point out that with the revenue recognition and lease accounting guidance we have adopted over the last two years, as well as historical sales of product to TBG at cost, our Franchise segment EBITDA margin percentage is not comparable year-over-year. After adjusting for the non-contributory revenue associated with Ad fund revenue, franchisee rent revenue, and TBG product sales, our pro forma Franchise segment EBITDA margin was approximately 40.4%, which was approximately 20 basis points favorable year-over-year and in line with our expectations. Looking now at company-owned salon segment, fourth quarter revenue decreased $75.3 million or 30.2% versus the prior year to $174.5 million. This year-over-year decline is driven by and consistent with the decrease of 1271 company-owned salons over the past 12 months, which can be bucketed into two main categories. First, the conversion of 1,188 company-owned salons to our asset light technology enabled franchise platform over the course of the past 12 months, of which 545 were sold during the first quarter and second, the closure of approximately 147 company-owned salons over the course of the last 12 months, most of which were unprofitable and as I noted earlier, not essential to our future strategy. These net company-owned salon reductions were partially offset by 45 salons that were bought back from our franchisees over the last year and 19 new company-owned organic salon openings during the last 12 months, which we expect to transition to our franchise portfolio in the months ahead. First quarter company-owned salon segment adjusted EBITDA decreased $16.1 million year-over-year to $11.5 million consistent with the total company consolidated results. The unfavorable year-over-year variance was driven primarily by the elimination of the adjusted EBITDA that has been generated in the prior year period in the company-owned salons that were sold and converted into the franchise platform over the past 12 months. The quarter was also unfavorably impacted by a 2% decline in same-store sales increases in stylist minimum wages and commissions and our investments in a new Supercuts advertising campaign, which launched during the MLB playoff season and World Series. Turning now to corporate overhead, first quarter adjusted EBITDA of $6.4 million is driven primarily by the $26.2 million of net gains excluding non-cash goodwill derecognition from the sale and conversion of company-owned salons. The net impact of management initiatives to eliminate non-core, non-essential G&A expenses and lower year-over-year incentive expenses. These were partially offset by the timing of the company's annual franchise convention that occurred in the first quarter of this year compared to the second quarter in the prior year. Lastly, I want to point out that the cash proceeds received during the first quarter for the salons we venditioned were approximately $70,000 per unit compared to approximately $125,000 per unit for the full year of FY '19. The decline in year-over-year per unit vendition cash proceeds is driven primarily by the increased mix in Signature and SmartStyle salon venditions during the quarter as both of these have lower -- typically have lower transaction multiples than salons in our Supercuts portfolio. Looking now at the balance sheet, as expected we have maintained our strong overall liquidity position, while providing optimal balance sheet flexibility to fund the elements of the company's transformational strategy. On the liquidity front, net-net quarter end cash equaled $58.9 million. As Hugh mentioned, we expect to utilize our vendition cash proceeds in various ways to maximize shareholder value. So our quarter end cash may fluctuate in the quarters ahead. During the first quarter, we repurchased 1.5 million shares or approximately 4.2% of the total shares outstanding for $26.3 million. As of September 30, we had $90 million drawn on our existing credit facility, which was equivalent to our FY '19 year-end levels. Turning now to cash flow, I thought it might be helpful to provide a high level reconciliation of how we see adjusted EBITDA flow through to cash from operations and our free cash flow. When looking at first quarter cash flow statement, the single largest use of cash is approximately $12 million use of working capital. This net use of cash is significantly impacted by cash outlays associated with the wind down of company-owned salons as we convert to a fully franchised platform. Specifically in the first quarter, the working capital use is primarily driven by 3 items. First transition related payroll and vacation payments including severance payments related to restructuring our field teams to better align with our future state. We anticipate these types of outlays will likely continue as we transition to the fully franchise platform. Secondly, both short-term and long-term bonus and incentive payments related to FY '19 performance. And third, we saw normal course inventory build during the quarter, as we lead up to the upcoming holiday season. However, I want to point out that we expect the company's merchandise inventory levels to stabilize and materially decrease in the months ahead as we continue to convert to the wholesale inventory model needed to support our franchisees. In addition to a change in working capital when reconciling the adjusted EBITDA to operating cash flow, you need to take into account the fact that the $26.2 million net gain from the conversion of our company-owned salons to the franchise platform are included in our net income and adjusted EBITDA, but not included in cash from operations. As the cash proceeds are reported as inflows in the investing activities section of the cash flow statement. Turning now to other operational items. I thought it would be helpful to provide a brief update on TBG. As we have discussed in the past, Regis had a number of reasons to pursue the original TBG transaction back in October of 2017. First, the transaction provided us an opportunity to transfer mall-based lease risk to a third party and enabled us to exit the malls and focus on growth in the value sector rather than premiums salons. Second, with this transaction, we were able to substantially avoid the continuing operating losses associated with these salons. Third, we created optionality of the buyer was able to improve the performance of this portfolio. And finally the TBG transaction has enabled us to focus on our franchise conversion strategy. As we had previously previously disclosed, although we would have provided some -- although we have provided some ongoing support, the buyer of this business has not performed as well as we had hoped. In fact, the business has struggled and continues to be challenged. Nevertheless, we have worked hard to reduce the ongoing lease risks and today, we estimate that in the worst case scenario, our all-in remaining risk is approximately $35 million prior to any mitigation efforts that may be available to us and this is a significant decline from the original lease liability of approximately $140 million when we entered into this transaction over two years ago. Looking forward, should TBG destabilize further? We believe we have multiple options to minimize our cash risk including negotiating with the landlords to buyout of the leases, potentially reduce amounts or negotiated reduced rents. We could bring back a number of these salons into our OpCo portfolio and operate them and/or we could transfer the salons, where we have ongoing lease risk to a new operator. As a contingency plan, we have these options under a continuing review but have not concluded the best option for our business. You may have also read recently that an administrative action has been filed in the UK. As a reminder, the UK transaction with TBG was done as a stock deal and we do not believe that Regis has any liability associated with this transaction or these salons. However, we will continue to review and monitor this matter and determined what the best course of action related to the UK salons, particularly Supercuts. Lastly, before turning the call back to Katherine for questions. As we discussed on last quarter's call, we have provided a recast view of our actual results for the last 12 months ended September 30, 2019, bifurcated between our modeled recast ExitCo and pro forma franchise NewCo components of the business. We believe this recast will help you model, how we're thinking about the future state fully franchised business. While the numbers presented are subject to material change, in providing this ExitCo is intended to represent our company-owned salons modeled as though they were a stand-alone business with cost allocations related to product sales and distribution expenses, corporate overhead in other one-time and stranded G&A costs. The pro forma franchise NewCo component is intended to reflect a scenario, in which we were to snap a line at the end of the first quarter what our company may look like as a fully franchised business based on our last 12 months of actual results. This also represents our existing and projected new franchise salons with allocations for product sales and distribution expenses, long-term strategic technology investments and corporate overhead G&A. This pro forma view should make any sum of the parts analysis work simpler and enables one to value the model franchise NewCo portion of business at a multiple more in line with other publicly traded pure franchise companies. Conversely, for the ExitCo component of the business given the fact that this is anticipated to have a relatively short life cycle and not continue in perpetuity, we believe it should be valued at its nominal or absolute value and not having multiple applied against it. Lastly, as a reminder, while what we have presented today reflects actual results for the last 12 months ended September 30, 2019, when thinking about the overall sum of the parts for valuation purposes, it is necessary to consider future period ExitCo cash flow items including EBITDA and cash CapEx, net of sale proceeds along with franchise NewCo cash CapEx. As discussed during our August earnings call, in terms of modeling future G&A expenses while not intended to be used as forward-looking guidance, we believe it is reasonable to model G&A of approximately $12,500 per salon in the fully franchised future state business split roughly evenly between franchise direct G&A, which would include distribution center costs and corporate G&A. With that, I would like to thank you for your continued support and interest in Regis and we'll like to now turn the call back to Cassidy for questions. Go ahead, Cassidy.
Operator: [Operator Instructions] Our first question comes from Stephanie Wissink of Jefferies.
Ashley Helgans: Hi, this is Ashley Helgans on for Stephanie Wissink, thanks for taking my question. You guys had a nice strong level of venditions in the quarter, how should we model the average gain when we look at the current value of your remaining salons relative to the average multiple you're getting per sale.
Hugh Sawyer: Andrew, you want to take that?
Andrew Lacko: Yeah, sure. Hey, Ashley good morning. So as you look forward from a cash gain I would use as a good proxy our results to date, so last year FY '19 in the first quarter because again we intended to provide additional disclosure last October with first quarter of FY '19 that clearly lays out number of salons vendition cash proceeds, the net gains, so you can see kind of the assumed PP&E in inventory that's included. We then have the goodwill derecognition to get to what the net gains are. Because it is a very fluid process with which we're selling depending on whether it's a SmartStyle, a Signature Style, or Supercuts salon that gets vendition. I would just use kind of that those rough averages based on the experience to date to calculate on a per unit basis what the proceeds or what the net gain could be. And then in my prepared remarks, I also talked about the fact that on a per unit basis, cash received per unit was lower this quarter. And again, that's a function of the mix of salons that we sold with the SmartStyle and Signature Style salons, those portfolios typically receiving slightly lower cash flow multiple than Supercuts. If you look at the total balance of the portfolio at the end of this quarter, you can see we're largely through the Supercuts portfolio and we have the majority of the venditions to remain are in the SmartStyle and Signature Style portfolio. So from a cash proceeds per unit, it's probably going to be lower than the average transaction history to date, especially as you consider we're using the Signature Style venditions as a very capital-light cost effective way to effectuate our brand consolidation.
Ashley Helgans: Great, thank you. And if I could just squeeze in one more, how was the response been to the tech and product enhancements you've made to date.
Hugh Sawyer: Hi, it's Hugh. We've actually been encouraged if you think about open salon is a good -- simple way to think about open salon, it's an aggregator. That doesn't mean that we won't price our branded apps as well. Travel facilities can live in the same e-customers the Delta Airlines app. So you should expect us going forward to continue to drive adoption of open salon. We like the technology because it gives us access to Google's user base, to the Facebook Messenger user base and to the Alexa user base and so in combination that opens up a portal to customers that we may have never done business with in the history of the company. But at the same time you will see we just continue to support our branded absolute Supercuts and SmartStyle and Cost Cutters for the past five, so that these two concepts live in the same world together and give us access to longtime loyal customers and new consumers who may never have experienced service at one of our salons. We've been encouraged by both adoption of customers and adoption of our franchisees as we continue to migrate through the technology enabled world, we need to all existent today. So we are optimistic about it. We feel good about it.
Ashley Helgans: Great . Thanks...
Hugh Sawyer: Yeah.
Operator: And our next question comes from Laura Champine of Loop Capital.
Laura Champine: Good morning, thanks for taking my questions. So the comps, we were hoping for a flatter comp than what we got in, particularly in Supercuts given the advertising on MLB and elsewhere. What's driving that comp lower year-on-year?
Hugh Sawyer: I'll take the first, you want to take that Andrew?
Andrew Lacko: No, go ahead.
Hugh Sawyer: Thank you. I'll take the first part and then, Andrew, you can weigh in others. Please recall Andrew's earlier point on the year-over-year comparative may not always be relevant or accurate, so there's going to be -- it's going to take some time for the dust to settle on the comp analysis as we continue to convert to a franchise platform in order to get an accurate comparative view on a quarter-to-quarter basis. So I actually continue to be optimistic about the future comps. As you know, Laura, one of the reasons we embrace the franchise strategy is, although these are national brands but local market business and when you have owners put their own capital to work in a local market business, they tend to be proactive and enthusiastic about growing their businesses. And you're right, we are supplementing that and working in collaboration with them to upgrade the marketing and advertising in the company, both with retaining to disruptive agencies like Barkley, Chiat\Day, Barkley for Cost Cutters and Chiat\Day for Supercuts and we're continuing to invest in influencers in digital and the other campaigns that we think will be necessary to multi-growth in the future years. But I think the most important component of this and then I'll pass it back to Andrew is, it will take some time for the dust to settle so that we get an accurate year-over-year view of the comps, since there -- they're not, we measure this in the same way we do in the other comp sale for OpCo. Andrew, you want to tag on there?
Andrew Lacko: Well, actually Eric wants to a few comments on franchise, then I'll take…
Hugh Sawyer: Sure.
Eric Bakken: Hey, Laura. Its Eric Bakken. So if you look at the business particularly Supercuts, obviously the vast majority now are on the franchise side and when you factor in the number of locations that we have deals on were down to 126 corporate Supercuts locations and that number will go down in the near term as well, but if you look at it from a comp perspective in the quarter, Supercuts franchise was up 1.6% service for the quarter down in retail and up 1.1% overall and we were gaining momentum as we move through the quarter. So we're making good progress from, we don't release the traffic numbers on that or transaction numbers, but that number is obviously far better on the franchise side. So we're focused on -- heavily on all of our businesses but in particular on Supercuts and you mentioned the marketing and advertising, Hugh touched on that as well, but we're also very actively involved in improving our ability to attract recruit and hire the best stylist and so that's -- we have a significant focus on that and that is starting to pay dividends as we go forward. For all of our businesses but in particular for Supercuts. So we always want it to be better, but it's positive in the quarter and, we're seeing some improvement as we move ahead as well.
Andrew Lacko: And the only thing I would add is, Laura, it's Andrew, on the company-owned salons with Supercuts the remaining portfolio at the end of the quarter was just north of 300 salons. So while it is a negative 3.4 in service comps total down 3.9. The impact is relatively de minimis now, just given the small size of the portfolio and inevitably as we're going through this transition there is likely to be some disruption on the OpCo side just given the uncertainty with the transition to a fully franchised model that we think, Jim Lain and the field leadership team has done an excellent job of minimizing and managing through. But it would be remiss for us not to acknowledge that there is at least a small amount of disruption happening just because of the transition that's going on. That's why it's imperative that we move quickly -- to move to the fully franchised model.
Eric Bakken: Yeah, just to add to that, I would say disruption exist overall throughout the entire organization. And so we're managing it on all sides of course but we're transitioning a lot of stores and that takes the time, energy and effort of the entire field team, both on the OpCo and franchise side.
Hugh Sawyer: And Andrew, in the OpCo portfolio, isn't it correct to say that historically we utilized pricing to offset minimum wage increases?
Andrew Lacko: That is correct.
Hugh Sawyer: That impacts comps as well, right?
Andrew Lacko: That is correct.
Hugh Sawyer: The OpCo portfolio continues to be a melting ice cube.
Andrew Lacko: Yeah.
Laura Champine: Got it. I appreciate all that and also the comments about how the mix shift in the venditions is impacting your take per salon, but is it fair to say that what you're left with at the corporate level would be your less productive salons and therefore that price per vendition should stay compressed and we shouldn't expect much comp improvement on the Company owned side.
Andrew Lacko: I don't think that's a fair statement. I think it's more a function of the portfolio mix. The fact that just, I mean, per our publicly disclosed FTD disclosures, Supercuts tends to be a higher performing, higher margin piece of the business that tends to have higher unit -- average unit revenue. So as we have substantially venditioned fully through the Supercuts portfolio and now we're getting into the Smart Style and the Signature Style portfolio, one would expect that the average multiple that we get and we've been fully transparent that disclosure, tends to be a little less than Supercuts and then again with the Signature Style portfolio with many of these salons. We are using this process to convert the salons into one of the, as you call them, the Fab Five brands or the brand consolidation effort that we are undergoing. And in doing so, we offset some of the remodel and refurb costs with the purchase price. So it gets recorded as relatively low, if not zero purchase price, but on the other side, the new franchisee has funded a substantial amount of conversion and it's a brand new Supercuts, Cost Cutters, First Choice Haircutters or whatever the ending salon is. So that's really the dynamics of what's driving the lower cash proceeds per unit this quarter and likely going forward. We don't think it's a function of being left with a bunch of dogs and cats and under performing salons because we do believe that the remaining portfolio is actually a strong performing portfolio.
Hugh Sawyer: And if that's not strong, Laura, we'll deal with it in a different way. If it's a nonperforming salon, we are going to close it. We're not going to vendition or sell it. And I think I would also highlight and I think, Laura, I know you know this, but it's worth it bears mentioning that these OpCo comps become meaningfully less important to the financial performance of the company with each passing month. As the time -- as the clock runs and we continue our vendition process, the OpCo comps. While we monitor them and we -- and as Andrew mentioned Jim Lain and our team have done a wonderful work in running our OpCo business during this transformation, the comps become at some point, far less relevant to the financial performance of the company.
Laura Champine: Right. Got it. So last question and something that should be relevant to NewCo. I mean you mentioned Hugh the part of the thesis is that you converting to an asset light, higher returns, high growth model. Is the growth you expect to see comp growth or do you expect that it is franchisees take ownership of territories that they will expand the salon count in their territories?
Hugh Sawyer: And I'll let Eric tag on to this too, but I -- we are actually. I'm -- I'll speak from my side. I'm very optimistic that we have a great group of franchisees and I think they will grow organically within the four walls of their businesses within that local salon because that's what entrepreneurs do, when they put capital work, they grow their businesses. They hug their stylist every day and they hug the customers when they come through the door and thank you so much for visiting our Supercuts, but at the same time we think there is, Laura, a meaningful opportunity for organic openings and we are pursuing a real estate strategy where we pre-position those assets in advance of organic salon openings by our franchisees. So I think the answer to your question is both. We expect same store sales comp increases from our franchisees on both the service and merchandise side and we also expect that our great franchisees are going to want to pursue new organic openings in the years ahead. And that's why we're out ahead of that investing in these. So that when they're ready to grow, we're ready to provide them with the lease location and Eric, you can add to that too if you'd like.
Eric Bakken: Sure. Yes, I agree with all of that, we obviously need to grow the businesses that we're selling. So we need to get the comp growth, but we also need to add additional organic locations and Laura, as you might recall, as part of these deals that we build in a store opening requirement to all of the transactions generally if they buy three, they need to open one additional location. So, Hugh mentioned we're securing real estate ahead of that. And you'll see those -- the organic numbers improved significantly as we get through the vendition process. What's happening as you have the vast majority of our owners, existing owners who were growing previously and the new owners are obviously buying the vendition locations. So they are quite busy and shoring up the operations and making enhancements and improvements both to the physical plant into the employee base in the salon, so they're busy doing that, right and as they get that process to a point where they're comfortable, then you'll see them go into the market and work with us to add additional locations and we will be well positioned to help them with that as we secure real estate in many instances ahead of having a franchise to take those locations.
Laura Champine: Understood. Thank you.
Eric Bakken: You're welcome.
Operator: This concludes the Q&A portion of the call. I will now turn the conference back to Hugh.
Hugh Sawyer: Well, thanks, Cassidy. So I would be remiss if I just didn't take a moment to express our heartfelt appreciation to our shareholders for their continued support. And to our franchisees and employees for the awesome work they do every single day on behalf of our customers and our shareholders. So thank you everyone and we look forward to talking to you again at the close in the next quarter. Thanks and goodbye.
Operator: Ladies and gentlemen, this concludes our conference call for today. If you wish to access the replay for this presentation, you may do so by visiting regiscorp.com in the Investor Relations section of the website or by dialing 1-888-203-1112 access code 3231103. Thank you all for participating and have a nice day. All parties may now disconnect.